Sheldon Bruha: Good evening, everyone, and thank you for joining the Frontier Communications Fourth Quarter 2020 Investor Update. I'm Sheldon Bruha, the Chief Financial Officer of the company. Joining me today is Rob Schriesheim, Chairman of the Finance Committee of the Board.  
 At the outset, I'd like to inform you that the quarterly update presentation is available on the Webcast & Events section of the Investor Relations website which can be found at frontier.com/ir. 
 During this call, we will be making certain forward-looking statements. Forward-looking statements by their nature address matters that are uncertain and involve risks, which could cause actual results to be materially different from those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found on Page 2 of the presentation.  
 On this call, we will discuss certain non-GAAP financial measures. Please refer to the presentation for how management defines those measures and certain shortcomings associated with these measures. Reconciliations of these non-GAAP measures to the closest GAAP measures can be found in the presentation. 
 I will now hand it over to Rob, who will lead off the presentation of the quarterly investor update. 
Robert Schriesheim: Thanks, Sheldon, and thanks to everyone for joining us on today's call. We'll begin with an overview of strategic, operational and restructuring milestones achieved since June of 2019 when Frontier reconstituted its Board of Directors. And next, Sheldon will provide more detail on our operational initiatives and financial results.  
 So let's begin on Slide 7. Upon my joining the Board, we initiated a deep review of the company's prospects starting in January of 2019, and 6 months later, we reconstituted the Board in June of 2019, adding 3 new members to the Finance committee. Over the 21 months since we reconstituted the Board, the Finance committee has moved swiftly to transform the business, moving in parallel along 3 paths, which included initiating a strategic repositioning, executing operational improvements and restructuring the balance sheet.
 Early on, we set a priority to redefine the strategic direction of the company to ensure future success. We shifted the near and long-term focus of our business towards being a data-first service provider. Additionally, we launched an extensive network modernization fiber-to-the-home build program. In large measure, the strategic framework was substantively developed in the period June to October of 2019 with refinements since that point.  
 Second, significant operational strides have been made, which began in earnest in July of 2019, with the implementation of specific actions, which were then driven and accelerated by our now recently former CEO, Bernie Han, who took over in December of 2019. Starting in July of 2019 and during Bernie's tenure, we optimized our product suite, customer service, pricing and internal procedures to drive profitable growth in modern products. We have every expectation and confidence that this transformation will be accelerated by our new CEO, Nick Jeffery, who began on March 4, and our incoming Executive Chairman, John Stratton, who has actively participated in all of our Finance Committee work streams as an observer and de facto member since May 2020.
 Finally, we've executed an efficient restructuring process. In addition to the confirmation of a comprehensive plan of reorganization, we generated significant cash through our divestiture of our Northwest operations and executed other highly accretive refinancings following the restructuring. Often overlooked in these types of multidimensional situations, for lack of a better word, in which there is not only a balance sheet fix but a concurrent substantial strategic redefinition and operational turnaround is the sheer magnitude of the heavy lift to reverse a year's long negative trajectory in the business. 
 Since joining the Board, my focus and that of the Finance Committee has been first and foremost on preserving and maximizing value. As stewards of the enterprise, we've kept a keen eye on value creation. Any action or activity was filtered through a lens focused on accreting value for the long-term benefit of the future owners of the company. Often, when moving through a long and complex process, this activity and intent is obscured or colored by various dynamics amongst the parties, which is natural.  
 In our case, we always kept our eye on the ball with value creation top of mind. Based on the efforts of the team, and the collaboration with our bondholder constituents, we can look to the market value of our unsecured debt as one marker of our collective focus on value creation. Since the RSA was announced in April 2020, the market value of our unsecured debt has increased by $2.9 billion for a 90-plus percent uplift. Clearly, a nice result to date. And no doubt, with the addition of proven leaders, Nick Jeffery as CEO; and John Stratton as Executive Chairman, this will prove to be only the first phase, albeit a critical one, of a successful value creation journey.  
 On Slide 8, we provide an overview of our strategic repositioning since June of 2019. First, as mentioned, we transitioned our focus towards being a data-first provider of telecommunications services. A key piece of this transition has been deemphasizing unprofitable sales of our video products and cutting high cost content while maintaining success in our broadband segment. Further, in the fourth quarter of 2019, we enabled 1 gig to over 97% of our serviceable fiber homes. This has paid dividends as we have now seen 6 straight quarters of positive fiber broadband net adds.  
 Second, we have executed successful investment in our network and have planned extensively to continue to invest in the future. In 2020, we completed our fiber-to-the-home pilot program showing that we can execute fiber builds on time, on budget and drive meaningful penetration in these builds. Further, our fiber pilot program has informed extensive planning for our broader network modernization plan, which we continue to execute.  
 Lastly, we successfully participated in the RDOF auction winning $371 million in funding for 127,000 locations across 8 states. The vast majority of these will be built with fiber. Thus our RDOF results are well aligned with our overall goals to modernize our network while maximizing stakeholder value. All of these activities represent early days with much more work and success to come under the new leadership team post emergence.  
 Slide 9 provides additional color on some key operational milestones over the last 21 months. To execute upon our data-first transformation, we have implemented various operational initiatives to improve customer retention, contributing to significantly reduced broadband churn. Additionally, we've rationalized and simplified our broadband offerings, allowing for more focus on selling our more modernized broadband offerings. Our key new hires, as mentioned, include our new CEO, Nick Jeffery; and our incoming Executive Chairman, John Stratton. We have also brought on a new Head of Wholesale, a new head of FP&A and a new Head of Digital Marketing, among other strategic talent enhancements.  
 Outside of the residential segment, we've significantly improved our relationships with our wholesale customers and are actively transforming our enterprise strategy, both aided by key hires.  
 On Slide 10, we can see the impact of some of our operational initiatives on key turnaround KPIs with these activities having been started in July of 2019. While consumer customer churn still needs continued improvement to reach best-in-class, it has remained at the lowest level seen in recent years. Similarly, while the historic levels of performance were a low bar to beat, fiber broadband net adds remained positive and near all-time highs in Q4, while copper broadband net losses have been minimized.  
 Lastly, ongoing content renegotiations and package reconfigurations have driven substantial improvements in our content cost per subscriber over the past year. 
 In addition to the strategic and operational progress, Slide 11 highlights restructuring milestones. In April 2020, we filed for bankruptcy with a plan of reorganization that would reduce debt by approximately $11 billion and reduce interest expense by 70% or about $1 billion. We're pleased to say that we've received all but one state PUC approval, which we expect to obtain within weeks. Additionally, we've generated significant cash. Shortly after filing for bankruptcy, we closed on the divestiture of our Northwest assets for $1.35 billion in gross proceeds.
 These proceeds allowed us to fund a cash distribution to unsecured bondholders under the plan of reorganization, while not impacting our ability to execute our modernization plan. As a result of our operational execution, we delivered strong cash performance during the bankruptcy. The cash distribution increased to $1.3 billion or 38% higher than originally forecasted.  
 Finally, we have remained focused on other accretive transactions that set Frontier up for future success. These include: refinancing about $5 billion of secured debt to reduce interest expense by $60 million per year and extending maturities to 2027; raising and upsizing our DIP-to-Exit revolving credit facility to $625 million; and facilitating the plan of reorganization to be consummated as a Bruno's transaction, which is expected to reduce the company's future income tax liabilities.  
 On Slide 12, you can see our pro forma capitalization. As previously mentioned, we reduced debt by $11 billion and interest by $1 billion. We'll emerge with less than 2.5x leverage with no maturities until the fourth quarter of 2027, affording the company sustained financial flexibility.  
 Moving to Slide 13. I'd like to start by personally thanking former CEO, Bernie Han, for his dedication to driving significant operational and cultural change at Frontier. Together with the Finance Committee, I recruited Bernie, knowing this would be a difficult situation, and we forged a highly constructive partnership. Given the difficult task of rejuvenating the business during a global pandemic no less, Bernie was able to deliver tangible results during his tenure. I want to wish him continued success in his future adventures. 
 I also want to thank the other members of the Finance Committee who joined me on the Board in June of 2019 for their significant contributions, Mo Meghji, Paul Keglevic and Kevin Beebe. Also deserved is a strong thank you to both of our Board observers who joined us in May of 2020, John Stratton and Patrick Bartels, who devoted substantial time and effort and both provided great value through their advice and counsel.
 In addition, I want to acknowledge and thank the legacy Board of Frontier who recruited me to the Board, recognizing the need for change and have worked well with the Finance Committee during this process. As a result of the collective efforts of the team at Frontier and the collaboration with our bondholder constituents, we can see the new Frontier is well positioned for continued value creation post emergence, building off the strategic, operational and financial changes instituted over the past 21 months.
 Finally, I'd like to wish the best of success to incoming Executive Chairman, John Stratton, who has been a partner over the past nearly 12 months; and to new CEO, Nick Jeffery.
 In several ways, this has been a textbook playbook of sorts for a financial restructuring and transformation, which met my original vision in which significant value has been created during the restructuring process itself which obviously enures to the benefit of the stakeholders. But perhaps more importantly, consistent with our original objectives as stewards of the enterprise, there has been and will be a seamless transition in leadership and governance. In our case, we were able to fully incorporate John into the detailed workings of the Finance Committee, affording him the opportunity to influence the outcome strategically and operationally as well as in determining the go-forward leadership. For that reason, Frontier will not miss a beat in this process, only reinforcing our confidence and success and value creation moving forward as Nick and John continue to raise the bar.
 With that, let me hand the call off to Sheldon, who will go into more detail on our operational and financial results. 
Sheldon Bruha: Thank you, Rob. I'll begin on Slide 15. Our fourth quarter key highlights are shown here. First, we generated positive fiber broadband net adds for the sixth consecutive quarter, which shows our ability to grow market share when we are not at a network disadvantage to our cable competitors. I'm also pleased to note that consumer churn came in at 1.67% for the quarter and 1.74% for the year, which are both year-over-year improvements. While lower churn is consistent with peers in our industry as consumers are -- avoid swapping providers in the pandemic, our operational initiatives have further contributed to these improvements.
 We generated $1.7 billion in total revenue in the quarter and are encouraged by the stability in consumer broadband revenues, driven by the previously mentioned improving fiber broadband performance. We reported a net loss of $50 million in the quarter, which was impacted by several onetime items that I will discuss in more detail later. Finally, our adjusted EBITDA was $693 million, which increased slightly from the prior quarter, benefiting from continued strong operating expense performance. 
 If you'll turn to Slide 16, I want to provide some additional color around the recent fiber broadband performance. Our ongoing transformation towards being a data-first provider continues to enhance our success in the fiber broadband segment. Residential fiber broadband net adds returned to levels from Q1 of the year after a slight dip in Q2 and Q3. This Q4 performance was partially driven by our 2020 fiber-to-the-home expansion to over 60,000 homes, most of which were open for sale during the second half of the year.
 In the fourth quarter, residential fiber broadband churn returned to near Q2 lows after a slight increase in Q3. That was due to some video content drops as well as the seasonal consumer activity. Churn remains significantly below pre-COVID levels, benefiting not only from our churn reduction initiatives, including our promotional roll off soft landing strategy and targeting customers with less likelihood for early life cycle churn. But also from lower overall market switching activity in the current COVID environment.  
 Our recent sustained success in fiber broadband space has been very encouraging, and we will continue to review and improve the effectiveness of the consumer -- customer service and acquisition strategies. 
 Please turn to Slide 17. And here, I want to highlight some other operational initiatives and trends. In Q4, we significantly limited new sales of 1- to 3-megabit copper products, seeing immediate benefit in churn reduction as customer -- as well as customer lifetime value as a result. This initiative is part of our broader strategy to simplify and rationalize our broadband offerings. Further, over the past year, we have seen significant increase in the mix of new sales of 1-gigabit fiber broadband. This is largely due to the introduction of 1 gigabit availability to over 97% of fiber homes in Q4 of 2019 as well as ongoing operational efforts to put broadband first. We continue to execute our video strategy, negotiating contracts with content providers and implementing further content drops if they do not align with our long-term strategy.  
 Finally, in Q1 of 2021, we are implementing price increases, both on the existing base of customers as well as on new product sales.  
 If you'll turn to Slide 18. As a reminder, we closed the divestiture of the Northwest operations on May 1. As such, the reported results include the performance of the 4 Northwest states through April and then only the remaining 25 states thereafter. This slide presents our consolidated reported results with such hybrid view.  
 On the subsequent slide, we adjust the historic periods to exclude the performance of the Northwest operations. So you can see the underlying performance of the remaining properties. As such, I will discuss the company's operating performance on the following slide, where the appropriate apples-to-apples comparisons can be made. Consolidated net loss was $50 million for the quarter, but this was impacted by several nonoperational items.  
 First, we had $136 million of costs related to our balance sheet restructuring and bankruptcy filing. These sit below operating expenses post-bankruptcy filing and a category called reorganization items; second, we wrote off $72 million in deferred financing costs in connection with the October and November refinancings of our prepetition secured debt. Free cash flow continues to increase on an LTM basis, due to interest expense savings and temporary holds on prepetition trade obligations, both stemming from our restructuring process.
 If you could please turn to Slide 19. Now we're looking at the performance of the remaining properties. The fourth quarter revenue was $1.695 billion. This is down 5.4% year-over-year driven by customer declines, including a 4.3% decline in total consumer customers, a 4% decline in total broadband customers and a 23% decline in video users. At the end of 2020, we had about 3.3 million consumer customers and 307,000 commercial customers.
 Looking at the components of revenue. During the quarter, Data & Internet Services revenue increased $12 million versus prior year. We had improved fiber broadband performance as our fiber broadband revenue and customers have recently begun growing with the introduction of our higher speed offerings and our churn reduction efforts. We continue to face declines in copper broadband, copper broadband customers declined 6% during the year. 
 Outside of the residential business, the wholesale division continues to make good progress on transforming the way we work with our customers. Taking a more collaborative approach in an effort to strengthen our carrier relationships and gain increased win share in the future. 
 While our current performance has seen lower revenue from a loss of legacy circuit volume and increased free rates, we have benefited from lower customer disputes versus prior periods in this approved approach. Video and voice service revenues declined at double-digit percentage rates versus the prior year. Voice revenues declined 11.7%, slightly lower than the decline in the first 3 quarters, driven by customers dropping land lines. Video revenues declined 18%, reflecting not only industry shifts to over top providers, but also the impact of our strategy to deemphasize video attachments on broadband sales and improved customer value. 
 Looking at the view of revenue by customer type, our consumer revenue was down 7% year-over-year, reflecting the trends on broadband, voice and video that I just mentioned. Commercial revenue for the quarter declined $35 million over the last 12 months. Most of this decline came from the Retail segment of commercial, where we faced pressures in our small business segments related to COVID. That said, our small business churn dropped significantly in Q4 across product offerings. 
 The Wholesale segment of commercial benefited from lower disputes. As in the prior year, we took additional accounts receivable reserves related to wholesale billing disputes. The declines in revenue was mostly offset by our expense management. Our expenses were down $117 million over the last 12 months related to lower content costs and compensation costs, primarily in our field operations. Excluding the Northwest sale and on a like-for-like basis, our headcount is down almost 1,200 employees or approximately 7% over the last 12 months to 6,200 employees. 
 Our content costs are down as well, not just from the lower video subs, but also from our efforts to reduce premium content through the renegotiation with several content providers and dropping channels during this period such as Fox Regional Sports Network. 
 Our fourth quarter adjusted EBITDA was $693 million for an adjusted EBITDA margin of 40.9%, a slight increase sequentially. 
 Please turn to Slide 20. Cash CapEx for the fourth quarter was $356 million. This is about $42 million more than last quarter as we ramped up spending for our fiber-to-the-home pilot program. CapEx for the full year was $1.181 billion, which was partially impacted by the nonpayment of prepetition CapEx invoices due to our bankruptcy filing, which will be settled in 2021 at the time of emergence. 
 We continue to have lower acquisition CapEx due to lower customer acquisition activity in the quarter. We've seen a lower level of customers in play across our footprint with reduced market switching activity during COVID which is driving lower gross adds, but it's also driving lower churn, so having a little-to-no impact on net adds. 
 So we're gaining similar customer levels without the incremental acquisition costs. Further in Q4, we significantly limited the selling of our 1- and 3-megabit copper offerings, which had challenging and unattractive customer lifetime values, which also contributed to our lower gross adds. In terms of specific projects, we have completed our fiber-to-the-home pilot field. We've built over 60,000 homes as planned, and this program is completed at a cost less than the $50 million estimate we had previously provided. We are leveraging these learnings as we scale the larger modernization program commencing here in 2021. 
 Additionally, in the recent completed RDOF auction, Frontier won over $37 million of annual government subsidies for the next 10 years to build 127,000 households across 8 states. We continue our build-outs for Connect America Fund, or CAF, with sales completed to 653,000 locations as of the fourth quarter, and this program will be completed in 2021. 
 In addition, as a normal ongoing element of our capital spend, we built fiber to almost 9,000 greenfield locations in the quarter and over 44,000 in the year, they're primarily housing developments with our footprint. These are on top of the over 30,000 locations we built in 2019. 
 If you could turn to Slide 21. We look at our full year performance against the base case included in our disclosure statements initially filed with the courts on June 17 last year. We performed well in 2020 against these plans with both our revenue and adjusted EBITDA exceeding the disclosure statement case. Revenue was $44 million better versus this full year plan, driven by lower consumer churn levels; and our adjusted expenses were $93 million better versus as planned where we are seeing some additional cost benefits from lower gross-add activity and efficiencies in our field operations. This has resulted in adjusted EBITDA for the full year, that was $137 million better than the disclosure statement case. 
 Please turn to Slide 22. Here, I will recap our fourth quarter financing transactions and provide a preview of the capital structure changes that will be affected as we emerge. In October and November, we opportunistically refinanced about $5 billion of our prepetition Term Loan B, first lien notes and second lien notes. In addition, we amended our Dip-to-Exit revolving credit facility to increase the commitments to $625 million, extend maturity by 1 year, decreased interest rates by 50 basis points and demand covenants to increase incremental first lien debt capacity. 
 Taken together, these transactions reduced run rate interest expense by $60 million per year, extended our funded debt maturities to 2027, clearing our runway during the important period of the implementation of our modernization plan and provide an additional secured debt capacity for long-term strategic initiatives. 
 As we approach emergence, we've reached an agreement with our unsecured noteholders on the terms of the $750 million of take-back debt that will be issued as part of the plan of reorganization. This take-back debt will be in the form of second lien notes, which will have terms substantially similar to the existing DIP-to-Exit second lien notes. The maturity will be 8.5 years from emergence, and the interest rate will be set referencing the trading price of the existing second lien notes.
 Based on the [ current ] trading levels, a coupon on the take-back debt will be meaningfully below that of the current 6.75% second lien notes. As we previously disclosed and discussed, we have finalized the excess cash sweep prescribed in the plan of reorganization, which will result in $1.3 billion of distributions to noteholders at emergence. 
 Also, our plan of reorganization requires us to use commercially reasonable best efforts to raise an $850 million exit facility, which would require an incremental $225 million of commitments or funded debt on top of our existing $625 million revolving credit facility commitments. We are in negotiations to satisfy this obligation, which would allow us to merge with over $1.2 billion of liquidity. We expect to have an update on this in advance of our emergence from bankruptcy. 
 As you heard during this presentation, we are at very final stages of our bankruptcy process, and we expect to be emerging shortly. Prior to emergence, we will be presenting to you again with our new leadership of John Stratton and Nick Jeffery, during which time, we will also provide you with our financial outlook for 2021. 
 This concludes our presentation. I want to thank you for joining us on today's call, and we look forward to updating you on our continued progress in our presentation prior to emergence as well as during our future quarterly results calls. Thank you for joining.